Operator: Thank you for standing by. My name is Cindy and I will be your conference operator today. At this time, I would like to welcome everyone to the Genius Sports' First Quarter 2025 Earnings Results. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Genius Sports. Please go ahead.
Brandon Bukstel: Thank you and good morning. Before we begin, we'd like to remind you that certain statements made during this call may constitute forward-looking statements that are subject to risks that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility for updating forward-looking statements. Any such statements should be considered in conjunction with cautionary statements in our earnings release and risk factor discussions in our filings with the SEC, including our annual report on Form 20-F filed with the SEC on March 14th, 2025. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating Genius' operating performance. These measures should not be considered in isolation or as a substitute for Genius' financial results prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the most directly comparable U.S. GAAP measures is available in our earnings press release and earnings presentation, which can be found on our website at investors.geniusports.com. With that, I'll now turn the call over to Mark Locke.
Mark Locke: Good morning and thank you for joining us today as we begin another year on a positive note. Throughout the first quarter, we were tracking exactly in line with the guidance that we set in March highlighting the predictability of our business model. On today's call, I'll provide a quick summary of our results and cover four other key topics. First, I'm excited to share an update on our expanded NCAA partnership; next I'd like to highlight a few new products that we've launched since our last call; then I'd like to share how these products launches are creating a powerful flywheel effect for the business; and I'd like to conclude by sharing my thoughts on the stability and the resiliency of our business model. First, on the results. Our first quarter group revenue increased by 20% year-on-year to $144 million. This group revenue growth contributed to our group adjusted EBITDA at a 53% incremental margin, once again demonstrating the operating leverage of our business model. This resulted in a group adjusted EBITDA of $20 million in the quarter, nearly tripling from the $7 million reported last year. This has also translated to 800 basis points of year-on-year margin expansion to 14%. Nick will cover the numbers in more detail shortly. In the meantime, I'll quickly touch on the other topics for today's call. First, the most exciting business update came after the quarter-end as we expanded our NCAA partnership through 2032. This is a perfect example of why our tech relationships with leagues are so important. For context, our NCAA relationship began in 2018 purely as a technology agreement with no sports betting component or official data rights. After six years of building technology solutions, which is now relied upon for over 70,000 NCAA games per year across all major sports, we've now secured exclusive data rights for March Madness and all post-season tournaments at no out-of-pocket cost to Genius. This is the clearest demonstration of our strategic execution with leagues. We've leveraged our technology position to obtain exclusive data rights again at no out-of-pocket cost, making this a significant and notable deal for us. We are now positioned to provide exclusive NCAA data and marks and logos to licenses, sportsbooks and ultimately drive greater revenue without any rights fees. We are also expanding our technology solutions for NCAA with GeniusIQ, our next-generation AI platform, which will unlock future opportunities across broadcast, augmented advertising, coaching insights and other immersive fan experiences; creating the powerful flywheel effect which I'll come back to shortly. This generates new incremental revenue for Genius, creates more value across the entire NCAA ecosystem, and helps solidify our long-term position. You should keep this strategy in mind as I move to the next topic, which is our product development, beginning with SAOT. After several weeks of testing, we are proud to announce the English Premier League has officially gone live with our semi-automated offsite technology or SAOT for short. This is a milestone achievement for Genius Sports and offers a scalable solution for a universal challenge in global soccer. So, why is it so important? First, this supported the growth of our Sports Tech revenue in the last two quarters. Second, it reinforces our stickiness with one of the most important sports organizations in the world. Third, it opens doors to other leagues and federations who also view this as an opportunity. And fourth, and most importantly, it allows us to install our GeniusIQ technology in hundreds of stadiums worldwide. The technology that enables SAOT is the same technology that drives other products like broadcast augmentations, BetVision, augmented advertising, player tracking and so much more meaning technology distribution is key to our strategy. Again, the deal with U.K. Football and the NCAA are clear examples of what is possible when leagues rely on our technology and as we execute on our strategy. As an example, 1 newly launched product is called Performance Studio, which is being utilized by individual teams in the Premier League. Performance Studio is a new tool that lets coaches or analysts review key moments of a match in a 3-dimensional format from different points of view, which you can see on Slide 8. This is just another example of the type of product that is built on GeniusIQ and empowers teams to improve the quality of sport. Sticking with soccer, we've also just announced the expansion of BetVision for soccer, representing another milestone achievement for Genius. BetVision has proven to be a highly engaging platform so that we are thrilled to launch this product for a high volume sport like soccer. This expansion marks a significant step forward as we aim to make this interface ubiquitous in sports betting. And lastly, as it relates to fan engagement, it's worth reminding you that we're not only creating new types of engaging experiences for fans, but also helping to integrate brands as part of these new experiences. This is exactly how we gain momentum with our FanHub platform. After announcing the launch of FanHub late last year, we have already won many customers, including Deep Blue, an ad agency focused on women's sports; and EchoPoint Media, a renewed partnership to promote ticket sales for the Indie 500 after we exceeded last year's targets. We have a robust and growing customer pipeline as these conversations continue to evolve and we believe this is shaping up to be one of the most exciting opportunities for our business and for the entire sports advertising ecosystem over the next several years. Each of these products I've described are interesting in isolation and are independently generating revenue today. However, what excites us most is how these are each linked to one another and can scale even faster when offered by 1 company on a single platform creating a powerful flywheel for the business. Allow me to illustrate this using the products I've just described as examples of this flywheel, which you can follow on Slide 10. Starting from the top, leagues and teams depend on our technology for a wide range of opportunities. SAOT is a perfect example. This allows us to install our technology in venues and capture next generation data. This next generation data then powers new types of sports betting or viewing experiences such as BetVision or alternative broadcasts of live sports that you've heard us highlight in prior quarters. BetVision is powerful because it is now becoming the destination for millions of fans to fully immerse themselves in live sports content, creating a highly engaged audience. As the next step, FanHub then becomes the platform where brands can reach this captive sports audience. In this example, BetVision gives us a real-time view of the audience and how they're engaging with live sport. In fact BetVision itself can be a potential source of proprietary ad inventory, allowing brands to integrate directly into the video player and be part of the experience. Many of these brands are also official sponsors of the leagues and teams. So, as we provide more optionality, brands get more value out of their official sponsorships, which flows back to the leagues and teams where the flywheel started. You can understand how we are creating value across the entire sports ecosystem. And as the world of sports, betting, media, broadcast and advertising converge; our GeniusIQ technology remains at the center of this flywheel. The reason I highlight this is because I wanted to share the strategic context for everything we do. As we continue to announce new products, technology agreements with leagues, alternative viewing experiences with broadcasters, expansion of BetVision or new FanHub partnerships; you should understand how they each fit together strategically. The strategy is working and it makes Genius an indispensable part of the sports ecosystem. As a final topic, I'd like to take a moment to reiterate our confidence in the business and our financial outlook. To be absolutely clear, we are largely unaffected by current macroeconomic conditions because of our unique and differentiated business model and we have almost no exposure to these near-term external risks such as global trade, which has caused market volatility over the last several weeks. First, we believe online sports betting is currently one of the most resilient components within consumer spending and we expect the industry should continue to grow in any economic environment. In fact, historical data provides this was true in markets like the U.K. and Europe throughout the 2008 global financial crisis. More importantly, most of our revenue and a large proportion of our costs are highly predictable. So, our commercial model is structured to protect our downside and reduce any outside risk. This is why we remain confident in generating at least $620 million in group revenue and $125 million in group adjusted EBITDA this year representing 21% revenue growth, over 300 basis points of margin expansion to 20%, increased cash flow compared to last year and a meaningful step closer to our long-term target of at least 30% group adjusted EBITDA margin. As we continue to increase our cash flow in 2025 and beyond, we are sharpening our focus on capital allocation, which is why today we announced the authorization of a share repurchase program up to $100 million. To be very clear, our capital allocation strategy is primarily focused on tech investment and M&A since we see several opportunities to drive growth and accelerate our long-term profitability target. That said, we believe implementing a repurchase program is just good housekeeping and this provides us with the ability to be opportunistic especially in a volatile market as we have seen. This program rounds out our capital allocation strategy and adds a complementary tool to deliver strong shareholder returns. Again, this program is underpinned by a durable business model and predictable cash flow outlook. With this in mind, I will now turn the call to Nick to discuss financial results in more detail.
Nicholas Taylor: Thank you, Mark. The first quarter was fairly straightforward as we continued to demonstrate consistent revenue growth and margin expansion. Our group revenue growth of 20% in the quarter was predominantly driven by our betting business, which increased 44% year-on-year to $107 million. This was as a result of our successful contract renewals with sportsbook customers last fall and we're continuing to benefit from higher pricing, increased in-play betting and additional value-add product and service. Growth in our betting revenue was well balanced in the quarter. Our revenue from revenue share agreements increased 65% year-on-year marking the highest rate of growth since winning the NFL four years ago. And our more predictable betting revenue from contractual minimums increased by 36% year-on-year, also marking one of our strongest quarters in the last four years. At the group level, our revenue growth was also well balanced geographically as Europe, the Americas, and rest of world achieved growth of 16%, 23% and 39%, respectively; once again demonstrating our global reach. Our Sports Tech revenue also increased 12% year-on-year driven by the innovative products built on GeniusIQ technology. As Mark briefly described earlier, this includes products like SAOT, player tracking technology, performance platforms and broadcast augmentation as just a few examples. You've heard why this technology is crucially important to our strategic objectives. but we're also generating incremental revenue from this in the meantime as well. Lastly, we generated $26 million of media revenue this quarter compared to $35 million last year. You may recall, our media revenue increased by 63% in Q1 2024 marking an outstanding quarter, but of course setting a high bar for year-on-year comparison. Moving forward, we expect the evolution of FanHub will support growth in media revenues towards the back half of this year likely resulting in low to mid-teens growth for the full year 2025. This quarter also demonstrated our cost control and operating leverage across the business. First, our gross margins have more than doubled from 11% last year to 24% this year and similarly, our group adjusted EBITDA margins also more than doubled from 6% last year to 14% this year. Lastly, on cash, we have historically seen cash outflows in the first half of the year followed by cash inflows in the second half of the year and we expect the pattern this year will look similar. As part of our guidance for the year, we still expect our full year cash flow to be positive and meaningfully higher than our cash net inflow in 2024. To close, we are tracking right in line with our guidance set out in March and we remain incredibly well-positioned given our largely fixed cost base, durable revenue growth drivers, and multitude of opportunities still ahead as we continue our tech distribution, product adoption, and commercial execution. With that, we now conclude our prepared remarks and open the line to Q&A.
Operator: Thank you. We will now begin our question-and-answer session. [Operator Instructions] Your first question comes from the line of Jordan Bender with Citizens. Please go ahead.
Jordan Bender: Good morning everyone. Thanks for the question. Mark, maybe to start where you ended your prepared remarks; the debt facility in place, share repurchases, producing free cash flow. I'm not positioning the question are you going to go do M&A. But what are the top priorities with ample cash on the balance sheet and the outlook for that to only improve from here?
Mark Locke: So, obviously we're expecting decent positive cash flow this year. I think putting our priorities in order of capital allocation, I think we're spending enough money at the moment in our R&D and our software development. So we're reasonably happy with the level that that's going at, which as a percentage of revenue should decrease over time. I think M&A is obviously a big focus, but we have to be very careful about what we're buying and you kiss a lot of frogs I think is the phrase and we're doing a lot of kissing, but we expect some of them will turn into princesses at some point. And then just having a share buyback I think is really good housekeeping for us. It allows us to be opportunistic and there's obviously a lot of volatility in the market. There's obviously sometimes a little lack of clarity that's coming to the market in terms of macro policy and it just gives us an opportunity to be flexible and really have the right facilities in place should the opportunities arise.
Jordan Bender: Great. And then just switching gears. On the NCAA, they've been pretty open about their desire to protect student athletes, notably the push to get player prop bands, broadly even though there isn't any out-of-pocket cost. Can you talk about the balance between your need to grow revenue yet also balance the potential limitations on your data if the restrictions tighten?
Mark Locke: Yes, it's a really good question because we actually see this as symbiotic. It's quite interesting that it's often pitched or the narrative is often that what the NCAA want to do is counter to what's best for the sports betting industry and I strongly disagree with that sentiment. Our view is fundamentally you've got to start with responsible gaming, responsible gambling. I mean we've seen mistakes in other countries where they haven't put that as the number one priority and there's been heavy crackdown on the government. So, there's a good history and good evidence in other markets in the U.K. of the sportsbooks taking this really responsibly and working with the leagues to make sure that the types of bets that are being offered are the right types of bets. So, I think when you look at this deal, what it's doing is it's allowing the NCAA to have real visibility on where the data is going. It allows the integrity of the sports to be improved and be protected. And ultimately, I don't think you're going to see disagreement from any of the sportsbooks about the way that the NCAA wants to protect their players and protect the types of bets that are being offered. Because in the end as an industry, as an ecosystem; it's in all our interest to make gambling responsible, it's in all our interest to make sure the integrity is protected and the players are protected because long term that's how we, as an industry, continue to grow.
Jordan Bender: Great. Thanks everyone.
Operator: Your next question comes from the line of Ryan Sigdahl with Craig-Hallum Capital Group. Please go ahead.
Ryan Sigdahl: Hey, good day guys. Want to start on the ad tech revenue. How much of that decline in the quarter was expected versus softer spend and then is that timing or is there a change in expectations from what you're hearing from your sportsbook customers or I guess potentially even market share changes?
Mark Locke: Sorry. Ryan, can you just repeat the question? We missed the second part of that.
Ryan Sigdahl: Yes. Just curious for more context around the media segment, decline was a bit weaker than maybe where I was expecting. I know you have a tough comp, but just curious for reasons there if it's a timing in spend or if it's a change in expectations from your sportsbook customers for the year overall?
Nicholas Taylor: Yes, hey Ryan, it's Nick. I mean it's broadly in line with what we expected. As you know, media revenue is always a little bit less predictable and can swing on whether someone spends on the 31st of March or the 1st of April particularly obviously with March Madness at that time of year. But no, it's broadly exactly how we anticipated it to be. I think as we said in the prepared remarks, it's comping against a big quarter, I think it was 63% up year-on-year in 2024. And what I can say and I think I said it in the prepared remarks again is that we're anticipating media to be double-digit, low teens growth year-on-year and therefore, we return to growth through Q2, Q3, and Q4.
Ryan Sigdahl: Thanks Nick. For my second question. Just on BetVision, you expanded with several soccer leagues or football leagues that aren't Genius sports betting data customers or contracts. Curious how you think about the ability to monetize your technology beyond existing relationships and then how that may or may not impact future data rights deals with your existing sportsbook leagues, but also the other ones you're partnering with from a technology standpoint?
Mark Locke: Okay. So, I mean just to give a bit of context on this. We launched BetVision for NFL a while ago and we were running around, call it, 270 games a year for that. The launch of soccer is a really big deal for us. Not only is it new sport, but it's a much higher volume sport. So, we'll be putting something like 18,000 games through that and we're obviously doing that in partnership with Infront, which means that that data is going to be highly and very widely distributed to the sportsbooks, which is obviously very good for us. And again coming back to sort of the principle of in-plays, it's high margin betting. The margins that we're generating from in-play are 3 times what we're generating from the rest of the market. We're seeing enormous growth in that space. We're seeing huge numbers, millions and millions of people adopting that BetVision product and engaging with it and we see it as a key driver to growth over the coming period.
Ryan Sigdahl: Thanks guys. Good luck.
Operator: Your next question comes from the line of Bernie McTernan from Needham. Please go ahead.
Bernie McTernan: Thanks for taking the questions. Maybe just to start on media. I understand the guidance of low to mid-teens growth for 2025 and the difficult comparisons you had in the first quarter of this year. As we trend through the year and we think about the year-over-year growth, how much of it is just maybe existing contracts with sportsbooks maybe in the U.S. versus FanHub really gaining traction here is embedded in that low to mid-teens guidance for growth?
Nicholas Taylor: Hey Bernie, essentially what's in the guide today is predominantly managed programmatic service from sportsbooks and non-sportsbooks. So, as we redid the contracts back in last fall, as we've always had, there was minimum spend in that and obviously we increasingly spend getting customers from non-sportsbooks as well. That's been a trend over the last three to four years. So that is predominantly what's in the guide. I think as Mark said appropriately at the last quarter, look, we're very excited about FanHub and we can talk about that in more detail through the rest of the Q&A. From a financial perspective, there's very little built into this guide really in relation to FanHub. That has always been I anticipate where there's any upside in our $620 million of revenue that we've guided to and it will have a much more significant financial impact in 2026.
Bernie McTernan: On BetVision for soccer, can you talk about the different opportunity sets of BetVision in the U.S. versus Europe? Because I think in the U.S., part of the benefits of BetVision was to increase in-play betting. Over in Europe we've heard that in-play betting is already 70%, 80% of handle. So, maybe just thinking about the different monetization strategy or the opportunity set in Europe versus U.S. Thank you.
Mark Locke: Yes, I mean that's a really good question. I mean, look, your assessment of the value of BetVision in the U.S. is right and obviously soccer has benefit in the U.S. But again next quarter with the launch of basketball, that will become even more relevant. I think in Europe, it's about continuing to innovate. We're innovating products, increasing things like stickiness, giving additional inventory to us. But I think the really exciting part is the evolution of the bet types. I mean if you look back for the last 20, 30 years or I look at the time I've been kicking around this industry, it's always basically been the same sort of product sets. And what we're seeing now is with the distribution of GeniusIQ into the leagues, we're getting much more -- many different types of data. You're able to have information on things like the speed of the ball, the height of the jump, different type of bet types. And also on top of that, your data is instantaneous. So, the fact that it's instantaneous reduces things like bet delays with sportsbooks. So, the combination of all of the benefits of automated data collection through the product sets that we're rolling out, the conversion of them into new bet types is going to give a whole new lease of life to some of the in-play betting in the European markets. And again, you've got to think of this in volume terms. We're talking about hundreds of thousands of games over the next couple of years being pushed through BetVision of soccer, NFL, basketball, potentially other sports as well. And that becoming a completely new viewing experience for the sports fan and it's something that we think is going to make a fundamental difference to the way that in-play betting and sports betting is engaged with.
Bernie McTernan: Thank you both.
Operator: Your next question comes from the line of Ben Miller with Goldman Sachs. Please go ahead.
Ben Miller: Great. Thanks so much for taking the questions. The NCAA deal seems to be another example of how product and value-added services are becoming more important in the league and sportsbook relationships and negotiations. Could you provide any color on what product adoption or attach rates look like today among league partners and sportsbook customers and how that might differ across customer or partner cohorts in terms of size or importance to Genius? Can you hear me?
Mark Locke: Yes. Sorry, I didn't catch the end of your question again, but I think you're asking what is the shape of the NCAA deal look like within the schools. Is that right?
Ben Miller: Well, just in terms of the product and attach rates for the various products among sportsbooks and league partners, what does that look like today and where is there white space to maybe drive more of that into negotiations going forward?
Mark Locke: So, specifically with the sportsbooks. Historically, we didn't have the betting rights for the NCAA. So the NCAA deal that we've had in place since 2018, I think it is has been a deal where we've distributed our technology into pretty much all the colleges to collect the vast majority of the data that they use to run their own infrastructure. But our ability and our right to use that in betting hasn't been in place. As part of this new deal and this long-term extension not only there's an additional adoption of further technology that we're going to be providing to them, it's giving us the ability under the new rights that we've been assigned to distribute that to the sportsbooks. And again, what that means is that the sportsbooks will be able to have additional new product. It will be done in a licensed and regulated way and obviously the best part of that is we're using technology as the currency and our ability to trade with the NCAA. So, we're hoping that the NCAA and us together are able to push a new era of sports betting on college sports. But as I said in my previous answer, done in a responsible way where there's great visibility back to the schools, back to the colleges, and that benefits the industry generally.
Ben Miller: Great. And then Nick, just on the reiterated 2025 guide. You've made a lot of progress on sportsbook renegotiations over the past few quarters. How should we think about what might still be outstanding there especially internationally and what's contemplated in the guide around that?
Nicholas Taylor: Yes. Hey Ben. We said before, renegotiation of sportsbooks is something we do on a daily basis. We had the slightly strange situation in 2024 where we ended up renegotiating all of the U.S. deals at the same time. I think as we said at the time, they will be staggered over the next coming years. None of them are one-year deals. So, we're not renegotiating any with the major U.S. sportsbooks this fall. There are some other international sportsbooks that naturally we would do and renegotiate through 2025. We've taken a reasonable view given the fact we've now got a lot of track history both now in the U.S., but particularly in Europe of what those renegotiations look like and we've built any sensible upside both in terms of product and price within the 2025 guide.
Ben Miller: Great. Thanks so much.
Operator: Your next question comes from the line of Jed Kelly with Oppenheimer. Please go ahead.
Jed Kelly: Hey, great. Thanks for taking my question. Nice announcement on the NCAA. Can you talk about how that potentially allows you to potentially get the college football contracts with the SEC, Big Ten, some of the other leagues and where you are there? And then interesting on the replay technology, I think a pain point for sports fans here in the U.S. is just the amount of time replay reviews take. Is there an ability to sort of grow your Sports Tech revenue by introducing your replay technology more with the other Big 4 sports? Thanks.
Mark Locke: Hey thanks Jed. So, on the NCAA, obviously we can't comment on any individual conferences. But I mean suffice to say that our technology is distributed in pretty much all of those conferences and all of those leads and it is the data and the technology stack that collects the data from those conferences from each of those games and is used to distribute on an official basis. So that is a fact and therefore, we are clearly in an extremely strong position as the colleges evolve their thinking and decide how they'd like to move forward in the space. In terms of the replay stuff, I mean it's quite interesting having a sort of mainly American-based investor base because the product that we put out, semi-automated off-site tracking SOAT, in sort of European terms is a massive step forward. It's a huge deal in terms of EPL and the way that the game is played and the adoption has been fantastic and the actual feedback on the product and how it's sped up the game, reduced error rates. I think it's fair to say that the Premier League and where it's being used, it's been incredibly well received. And again, we're probably -- there's quite a lot of press even coming out today that we've seen about this. So, taking that approach and taking that level of expertise that we have and applying it to U.S. sports is absolutely something that is available to us and something that we obviously think a lot about. The key to us being able to do that is the deployment of our technology within the stadiums, within the grounds. Again we focus on volumes so we focus on soccer, we focus on basketball. But again all of these relationships, the likes of the relationship with the NCAA and other U.S. sports that we work with, gives us a stronger position in order to be able to leverage the technology that we've got out there and provide those services to those sports.
Jed Kelly: How much are you cutting the review time down by?
Mark Locke: It depends on the review, but they're I mean down from, say, three or four minutes is probably not an unreasonable statement.
Jed Kelly: All right. Well, good job and thanks.
Operator: Your next question comes from the line of Clark Lampen with BTIG. Please go ahead.
Clark Lampen: Hi, good morning. Thank you very much for taking the questions. I have two. Mark, I wanted to start by following up, I guess, on sort of first-party technology. It sounds like there's a lot of really interesting extension opportunities that stem from having the newest, I guess, sort of state-of-the-art first-party tech in stadiums. Hopefully, this makes sense. But in instances where you don't have that in place, does it in any way limit the opportunity to capitalize on augmentations or some of the other sort of value drivers that stem from having a better capture? And then the second question for either Mark or Josh, momentum on the FanHub side certainly seems to be picking up. I know you guys are hosting a new front later this week. I'm curious if you could give us a sense for where you're seeing the most traction with the pitch right now? And I know macro impacts were downplayed, but I'm curious if there's been any pause in client interest or delays or sort of elongation of the sales cycle as a result of the current macro backdrop? Thank you.
Mark Locke: Yes. Okay. So, there's quite a lot in that. So, to get to your first question, the first-party technology. Look, so the way that we always run our business, the principles of it is we just sort of don't believe in these big bangs. We don't believe in having to have all the technology or all the product rolled out before we make incremental revenue. So, the distribution of GeniusIQ or as some people know it as Dragon, that distribution and using it as a first-party technology, as you call it, in the stadiums is a critical part of our long-term strategy. But it's not the initial necessary requirement for us to be able to generate revenues because our augmentation product that we launched and the very first versions of that that provide us with the ability to highlight and augment broadcast as well as providing advertising inventory on it as well. That is able to be done off of third-party TV streams and that's something that we've proven now fairly conclusively in lots of areas. The distribution of GeniusIQ into the stadiums, this first-party technology, really what that allows us to do is to go to the next stage of evolution. It allows us to create the virtual recreations of the events. It allows us to put the mesh product out there where we've got 10,000 points on a human body 200 times a second. It allows us to get that incredibly granular detail. It create auto eventing products, the way we're collecting the data on the events in an automatic fashion, which again SAOT, I was just mentioning that, has come from. But also our own data collection, what we can use that data for in terms of new bet types, in terms of how we improve utilization in things like BetVision. All of those things come from that product rollout. But again, our product rollout has always been about how do we roll out in a considered manner? How do we do that so that we're generating incremental revenue, incremental profitability, generating improved shareholder returns from every pound of investment or dollar of investment that we're making in our software set and that philosophy hasn't changed. It's just that we're now getting to probably the most exciting time I've ever known in Genius where we're actually getting real traction, real clients. We're getting these new products that are launching on a very, very regular basis. Now you've seen an awful lot of product come out of this business in the last six to nine months and that product adoption is really good. So, we're really, really starting to get the flywheel that I sort of mentioned in the earnings script really spinning. So we're feeling extremely positive about our product set. In fact honestly, I couldn't be more excited about it. So, from the ad tech side, I mean to tackle the first question, have we seen a slowdown or a pause? I think there's been a couple of conversations when the sort of tariffs came in, that gave a bit of pause for thought with some of the advertisers. But again, I think it's sort of noise. I mean this is going to be passing. Again, as Nick said earlier, we've been extremely cautious with our assessment of the contribution from FanHub this year. It's only a few million dollars in the numbers that we've put out and again, that's something that we see an awful lot of upside in. And just from a numbers point of view, we're tracking pretty much exactly as we thought we would. The augmented ads, the BetVision, the live data from sports; all of those things are coming together to provide us with ways of augmenting and advertising on unique inventory that we're creating. So, unique inventory in BetVision, in the partnerships that we're doing with our sports leagues, all of the product that we're starting to put out in the market allows us to leverage all of those parts of our ecosystem, all of the data we have to provide a really solid advertising solution for this sort of next generation of evolution in the ad tech space. So we're feeling really good about it.
Operator: Your next question comes from the line of Josh Nichols with B. Riley. Please go ahead.
Josh Nichols: Yes, thanks for taking my question. Just one question for me. Just wanted to dive into BetVision a little bit more. You've had a lot of success with the NFL and now you're expanding soccer at very high volumes of course. Like two things. One, is there much in the guide for this BetVision expansion into soccer or is that more an optionality? And then secondly, if you could just dive a little bit into what you think the longer-term opportunity is given the traction you've seen with the NFL over the past couple of seasons?
Nicholas Taylor: Josh, I'll take the one specifically on the guide and I'll hand over to Mark to talk about the long-term strategy and positioning of BetVision. I mean the majority of it is built into the guide. Like all of these things, Josh, there's always upside. You know us in terms of our relatively conservative guide position. So, yes, we do have a base. We're aware that this was obviously launching when we gave the guide. So, we have a base in there. But as always if we're able to accelerate this commercially, then there might well be some upside for 2025. And I'll hand over to Mark to talk about the longer-term vision.
Mark Locke: Yes. So, longer-term vision of BetVision, not the easiest statement, is really to get it to become as ubiquitous as possible. We want to -- we cover an awful lot of sports. Again we're sort of up in this somewhere around 90,000 soccer games a year, probably 60,000 basketball games a year and we see BetVision as a great distribution for that. And again, our strategy is kind of working exactly as we said. We said that we'd roll out soccer in this quarter, we'd have 18,000 games in that. We've got basketball coming next quarter. It's about making that distribution real, making sure that we're getting it out there, making sure that we're adding additional product to BetVision, whether that's the way that we're augmenting those broadcasts or whether it's functionality in terms of betting or whether it's, frankly, additional betting markets that we're able to offer. All of those things are coming and it's about doubling down on this strategy. We're feeling really, really positive about it. The eyeballs on this product are very, very significant. We've got an awful lot of users engaging with it and we're feeling really good about that.
Josh Nichols: Appreciate it. Thank you.
Operator: Your next question comes from the line of Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Morning. Thanks for taking my question. Mark, I wanted to ask about your views on the predictive markets, which have crept up more in this quarter. Do you view that as a threat against some of your partners and kind of the growth of the business, an opportunity or would you rather leave that to kind of the regulatory groups to determine how this fits into sports betting engagement and overall wagering markets going forward? Thanks.
Mark Locke: Yes, I mean it's pretty interesting, isn't it? I mean pretty fast moving as well and we're really right in the middle of this. There's obviously a lot of -- I mean you read the press every day. There's various different evolutions of it. If you take it to a high level, we see this as pretty positive, to be honest with you. It's additional opportunity for us, additional product for us, additional partners for us and we think that that's quite -- there's opportunities for us. There's some sort of questions around how far this is going to go and again I have some views. But from our point of view, we see this as an opportunity and we see some potentially interesting moves. I think one of the questions that sort of it does raise, which I think is interesting again, is what does this do to long-term regulation in the market? Does it potentially tip the interest around federal legislation of sports betting or are the states going to continue on their own. I think that's a really interesting question and one that could have some very extremely positive ramifications if those things were to go through. So it's an interesting time. It's worth keeping an eye on and again worth us evolving our relationships with those parties and continuing to make sure that we're well-positioned to provide the right--.
Chad Beynon: Great. Thanks. And then, Nick, another one in terms of what goes into the guidance. I think last year or last earnings call, you mentioned 30% in-play for NFL for the season. So, I'm guessing that was for Q4 and kind of the spill over into Q1. But how are you thinking about that in-play percentage in the guide? Is there an expected increase getting to the natural levels that we've seen in other markets? Thank you.
Nicholas Taylor: Yes, hey Chad. Yes, I'm anticipating there to be a small increase in the back end of the year for the new the 2025, 2026 NFL season, but not a remarkable sea change. If there is, that's upside to the guide and expected to be a couple of percentage points.
Chad Beynon: Great. Thank you, both.
Operator: Your next question comes from the line of Mike Hickey with Benchmark. Please go ahead.
Mike Hickey: [Technical Difficulty] Just a prediction market question. Obviously a lot to learn, but you have experience there, Mark, in Europe and other regions and you said it's sort of probably a win for you guys. Over time do you see the necessity for live data, Mark, in these markets or is the opportunity for you more in the media side or fan engagement opportunities?
Mark Locke: We can't see new product based on sports events being successful without relationships being formed with sports. We think that's essential and obviously we've got a very secure position as a partner to the league. So, we're very well placed to exploit those relationships as they develop and as they grow.
Mike Hickey: Okay. Thanks. And then on your buyback, just maybe a clarification. Obviously in our view, at least your stock still seems very undervalued here. Are you sort of -- is this more [Technical Difficulty] on the capital on the buyback or is this sort of a gradual sort of--?
Mark Locke: I'm really sorry, I can't hear what you're saying. I don't know if it's your line or not.
Mike Hickey: That better guys? Is that better?
Mark Locke: Yes, that’s much better, yes.
Mike Hickey: [indiscernible] On the buyback, just a clarification. Is this more opportunistic or should we sort of see like a quarterly cadence or grind here? Obviously your stock, in our view at least, seems very undervalued. So, it seemed like a good allocation to us.
Mark Locke: Listen, it's entirely opportunistic and it's really about just good housekeeping. The market is volatile at the moment. We think that who knows if there's going to be some opportunity or not. But at the moment, this is entirely opportunistic and we don't see any sort of cadence you should be looking into at all.
Mike Hickey: Okay. Good. Last clarification for us. On the NCAA deal, congratulations, obviously a big win for you. Just wanted to clarify I guess the monetization piece. Obviously, the data rights were not in your original agreement. Just wasn't sure like it probably wasn't baked into your guide for this year. Obviously, we're through March Madness now. I'm guessing that's sort of the big event where you would look to next year. But how much monetization is that for you in the near-term and in fact is that upside to your 2025 guide? Thanks.
Nicholas Taylor: Mike, it's Nick. You're right, you kind of slightly answered your own question there, Mike. Obviously the lion's share of the financial aspect is March Madness. We're through that now and therefore, I'm expecting there to be -- most of the monetization to happen in 2026 not 2025.
Mike Hickey: Appreciate it. Thank you.
Operator: And your next question comes from the line of Eric Martinuzzi with Lake Street Capital Markets. Please go ahead.
Eric Martinuzzi: Yes. A question for you, Nick, on the cash use. You said in your press release that we're talking about an increase in the annual cash flow in 2025 and yet we saw a significant increase in the amount of cash used at least here in Q1 of 2025 versus Q1 of 2024. So, help me understand maybe some one or two puts and takes that bridges that for me.
Nicholas Taylor: Yes. Eric, in the prepared remarks, I reiterated what I've said previously. We're obviously significantly cash positive as an operating cash flow in 2024 and net cash flow as well. I'm expecting that to again happen in 2025 although I expect that to be increased proportionate with the increase of the EBITDA that we're delivering in 2025 as opposed to 2024. As far as individual quarters are concerned, I'm expecting 2025 really to follow the same sort of seasonal pattern as 2024 and that's really a working capital outflow probably in Q1 and Q2 and then significant working capital inflows in Q3 and Q4. In terms of when you look at it year-on-year, you know how these things work. It can just be a matter of timings around payment runs, whether it's happening on the 31st of March or the 1st of April, but the pattern and seasonality this year should follow next year and therefore, expecting significant operating cash and cash inflow for 2025.
Eric Martinuzzi: Yes, thank you.
Operator: That concludes our question-and-answer session and that concludes today's call. Ladies and gentlemen, thank you all for joining. You may now disconnect.